Operator: Good day. And welcome to the CarGurus, Inc. Second Quarter 2020 Earnings Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Scot Fredo, Senior Vice President of Financial Planning and Analysis. Please go ahead. 
Scot Fredo: Thank you, Operator. Good afternoon, and welcome to CarGurus' Second Quarter, 2020 Earnings Call. We'll be discussing the results announced in our press release, issued today after the market closed and posted on our Investor Relations website. With me on the call today is, Langley Steinert, CarGurus' Founder and Chief Executive Officer, Jason Trevisan, Chief Financial Officer and President, International and Sam Zales, President and Chief Operating Officer. During the call, we will make statements regarding our business that may be considered forward-looking, within applicable securities laws, including statements concerning our outlook for the second quarter and full year 2020. And management's expectations for our future financial and operational performance, our business growth and international strategies, the potential impact of the COVID-19 pandemic on our business and financial results, the impact of our enterprise system upgrade and overhaul of our data architecture and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from our actual results. Information concerning those risks is available in our earnings press release distributed after market close today. And in our most recent reports on forms 10-K and 10-Q, which, along with our other SEC filings, can be found on the SEC's website and in the Investor Relations section of our website. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP and non-GAAP measures is included in our press release, issued today. We will also refer to our paying dealer key performance indicator, during today's call. As Jason will explain, and as further disclosed in our press release issued today, we have revised our definition of paying dealer and completed a data reconciliation effort. As a result we have revised, certain prior period paying dealer metrics. All references to our paying dealer metric during today's call where we will reflect, the revised definition. Our updated investor presentation can also be found, on the Investor Relations section of our website. With that, I will turn it over to Langley.
Langley Steinert: Thank you, Scot, and thanks to everyone joining us today. Although, our industry and our business are facing unprecedented uncertainty amidst the COVID-19 pandemic, CarGurus generated strong results in the second quarter that demonstrate our business' flexibility and resilience. Over the last several months, our employees have produced remarkable successes all while navigating work-from-home environments and often challenging circumstances. As a result of their hard work, we continue to deliver what we believe to be market-leading innovation. And return on investment to our dealer customers. Our business showed several signs of recovery in the second quarter, as consumer demand increased significantly in May and June, yielding strong lead generation and helping dealers rebuild their sales pipeline. We began a broad rollout of our real-time performance marketing suite, generated record engagement on our consumer financing platform and continue to develop additional features, of the online transaction to offer more digital retail elements in our marketplace. Although, we saw traffic and leads decline in April, as state and local governments mandated business shutdowns and sheltering in place, we saw strong consumer demand in our U.S. marketplace in May and June. In the second quarter, we significantly reduced our global advertising spend, as we observed falling consumer demand and sought to maintain strong ROI with the traffic acquisition spend we did deploy, in the quarter. The bulk of the reduction occurred in the U.S. in an effort to maintain business flexibility, through the heightened uncertainty of the health crisis. Despite our reduced spend we averaged 37 million monthly unique visitors and 93 million monthly sessions, across May and June, a testament to the health of our funnel and growing brand recognition. And we generated strong down funnel conversion. Consistent with the last several years, our lead growth outpaced traffic growth, as a result of high-quality consumer acquisition from unpaid channels, high-efficiency algorithmic traffic acquisition spend and enhancements in on-site conversion. Total leads rose 1% year-over-year in the second quarter, despite sharp declines in April. Leads to paying dealers grew 6% in the second quarter, compared to the first quarter. Most encouraging, the recovery in our traffic and lead generation has primarily been driven by our organic and direct channels, reflecting the growth of our brand and continued progress on-site optimization to improve organic traffic and on-site lead conversion. Traffic from our unpaid channels grew 15% and 23% year-over-year respectively, in June -- in May and June. Second quarter total unpaid leads to paying dealers grew 40% quarter-over-quarter, a metric that will become increasingly important moving forward, as we optimize our traffic both for efficiency -- both for efficient acquisitions and improving monetization. With respect to paid channels, we grew -- we began growing spend in May and June, off of very low levels in April. And we intend to optimize our spend with a particular focus on high-converting traffic, that yields quality leads to our paying dealers, which we believe is the best way to demonstrate value and support strong return on investment for our dealers. As traffic and leads rebounded in May and June, so did our dealer business. We led the industry in the U.S. as the first platform to provide fee reductions for all three months in the second quarter, helping dealers navigate an incredibly challenging environment. As we noted on our Q1 call, we did experience paying dealer count declines in the month of April. But we began to see stabilization and cancellations in May. And the rapid recovery in traffic and leads helped us win back a substantial amount of business, over the last two months of the quarter. Although our U.S. paying dealer count fell, 7.5% versus the end of the first quarter, we have since added a significant number of net new paying dealers to our core U.S. marketplace, versus our lowest point in early May. And retention remained strong, thus far in the second quarter. We continue to focus on expanding the value gap between our free and paid products, to improve paying dealer acquisition and retention. On July 1, we ended the temporary suspended status offering in the U.S. that allowed non-paying dealers to maintain inventory visibility on our platform during the second quarter. In its place, we have rolled out a new version of our restricted offering which limits the number of leads free dealers can accumulate in a 30-day period. After non-paying deals reach their lead limit, we will remove their inventory from search results for the remainder of the period, but consumers will be able to view any saved vehicles that these dealers -- from these dealers by navigating directly to the vehicle detail page. We believe this program preserves the consumer-centric nature of our platform, which provides superior selection over our largest competitors, while also enhancing what we believe is industry-leading ROI and our paid listings packages. We believe the quality of our consumer experience will continue to attract a large down funnel audience to support a strong value proposition for our dealers. In June, third-party economic consulting firm, Bates White, published a research report, comparing CarGurus to two of our U.S. competitors. The study empirically demonstrated our competitive advantage to both consumers and dealers. For consumers, the study found that CarGurus offer significantly more vehicle listings and dealers to shop with on our marketplace and it also showcased our more precise deal-rating system, where CarGurus rates vehicles from great to overpriced in a very balanced way, with fewer than three of 10 vehicles rated good or great deals. Our competitors rate more than six out of every 10 cars as good or great while refraining from calling out deals with high prices. The study reinforces the superior selection we offer to the consumer by virtue of our freemium model, as well as our foundation of trust and transparency for the consumer through our balanced deal ratings. In addition to industry-leading consumer benefits, this study also demonstrates that CarGurus is not only a high-efficiency marketing channel, but may be the only platform a dealer needs. Based on the study, paying dealers listing only on CarGurus turn over their inventory 16% faster than if they were to be marketing only on the next closest competitor. Moreover, paying dealers listing on CarGurus would realize a little improvement in inventory turnover, if they were to pay for multiple platforms, which we believe is a direct result of our disproportionately large audience and the return on investment our platform generates. CarGurus paying dealers see only a 6% improvement in inventory turns of if they pay for a second listing platform and no incremental improvement when adding a third, yet dealers often spend more in competing platforms than CarGurus. We believe these findings demonstrate CarGurus' superior value proposition to both consumers and dealers alike and solidify our view that the U.S. automotive listings market can be a winner-take-most vertical over time, one that we believe CarGurus is poised to win. I'm extremely proud of how well all of our employees have adapted to a work-from-home environment and our product and engineering teams continue to innovate in this challenging environment. We began a rollout of our real-time performance marketing suite in the second quarter and generated solid dealer adoption across late May and June, with healthy average order size, driven by RPM Premier and unlimited customers. We also continue to be encouraged by the increasing demand for our consumer financing platform. Our platform generated a record number of loan originations in May, only to break that record in June, yielding strong revenue performance in the quarter. In fact, roughly 10% of recent leads submitted to U.S. dealers from consumers with an active loan prequalification form from our platform, which we believe is yielding even higher-quality leads with greater likelihood of conversion to sale for our dealers. We recently announced our third lending partner GLS, expanding our consumer credit and dealer coverage, as well as improving the efficiency of our funnel. Our consumer financing platform is a key element of digital retail and we now have financing available on over 85% of U.S. vehicle listings, with an increasing percentage including two or more lenders. In April, we launched contactless service and nearly 8,500 of our U.S.-paying dealers have opted into these services, which includes local delivery and other socially-distant sales practices. These dealers are helping fuel demand for our delivery product. We remain focused on building more elements of the vehicle transaction into our marketplace, as consumers are increasingly demanding to complete more of the transaction online before heading to a dealership. We are working on several pilots centered around digital retail, beginning with continued evolution in our consumer financing platform. Today, consumers can receive loan prequalification from three lenders on our U.S. site, yielding high-intent shoppers for our dealers. We recently launched a pilot program with leading F&I technology provider RouteOne, where a consumer can share their prequalification application with the RouteOne system. With this program, a dealer can retrieve the consumer's application through their dealer management system and immediately resume the credit application and financing process. We believe this enhances the shopping process for both dealer and consumer. This integration allows the dealer to streamline the purchasing process in-store and creating a seamless online to off-line purchase experience for the consumer. In addition, we are actively developing pilots that will bring more ancillary products into our marketplace, as well as logistics pilots that will allow dealers to seamlessly transport vehicles from the store to the consumer's home, creating a more digitally-enabled transaction. Turning to our international business. We observed traffic patterns in both the U.K. and Canada that were similar to our U.S. business, with traffic and leads bottoming in April before beginning to recover, driven primarily by strength in our unpaid channels. Much like our U.S. business, we significantly reduced our traffic acquisition spend in response to depressed consumer shopping activity and heightened uncertainty during the health crisis. In both our core Canadian and U.K. marketplaces, lead growth outpaced audience growth, as our business rebounded in May and June. Total unique visitors to our U.K. marketplace in June were within 1% of June 2019's total, while unique visitors to our Canadian site rose 6% year-over-year in the same period. We successfully rolled out WhatsApp in our U.K. marketplace, providing deals with a fully managed service so consumers can engage quickly and conveniently via text and live chat. We completed the shutdown of our German, Italian and Spanish marketplaces in May and we are now fully focused our international resources on developing our Canadian and the U.K. businesses. Similar to our U.S. business, we began to see a recovery in our paying dealer counts in the U.K. and Canada, as the second quarter progressed. In June, we added 356 net new paying dealers in our international business, driven primarily by strong win-backs on our core U.K. marketplace. We rolled out a beta launch of our delivery product across Canada and the U.K. in the second quarter and the initial adoption is promising. Much like our U.S. business, we have generated strong adoption of our contactless service in the U.K. and Canada with nearly 2,300 dealers opting in and we believe these dealers will help us build a strong pipeline for future delivery customers. Despite the challenges of the COVID pandemic and uncertainty ahead, our businesses are executing well, demonstrating its flexibility and resilience and producing strong financial results on both the top and bottom lines. We are producing a number of efficiencies in our traffic acquisition funnel. We're making strategic investments in digital retail and other product adjacencies and continuing to prove our value to our paying dealers with innovation, scale and return on investment. I'm excited by our continued progress in areas such as RPM and consumer financing and I'm looking forward to the launch of future pilots as we seek to offer more digital elements of the transaction in our marketplace and provide dealers with more robust products and tools to sell vehicles and manage their business. Our swift decisive action to implement fee reductions and rollout new products and features as well as our unmatched audience scale has allowed us to win back business and we believe sets us up well for a strong second half of 2020. With that, I'll turn the call over to Jason to discuss our financial results.
Jason Trevisan: Thank you, Langley. Before I speak to our results, I'd like to first recognize Rodney Nelson who as many of you know is leaving the company. Rodney has led our Investor Relations effort since its inception shortly after our IPO. He built the program from scratch into what it is today. Along the way building strong relationships and establishing trust and respect in the investor and analyst community. In addition, Rodney has made tremendous contributions to our business. It's been a pleasure working so closely with him over the past two years. And on behalf of our management team, we wish him the best in his future pursuits. Now I'll provide a detailed overview of our second quarter performance followed by some directional comments on our outlook for the third quarter and full year 2020. Total second quarter revenue was $94.7 million, down 35% year-over-year though nearly $10 million ahead of our most recent guidance. Our marketplace subscription revenue fell 38% versus the year ago period to $80 million reflecting the fee reductions we offered to our paying dealers in April, May and June. As a reminder, we offered U.S. and Canadian-paying dealers fee reductions of 50%, 50% and 20% in the months of April, May and June respectively. In our U.K. business, we offered paying dealers fee reductions of 50% during every month of the quarter. On a non-GAAP pro forma basis, total revenue would have been $141.5 million which is inclusive of approximately $126.7 million non-GAAP pro forma marketplace subscription revenue and $14.8 million of GAAP advertising and other revenue. Each of non-GAAP pro forma total revenue and non-GAAP pro forma marketplace subscription revenue are adjusted to exclude the impact of fee reductions and also assume that we had no incremental churn other than realized in the relevant quarter such that all reported paying dealers retain their subscriptions at their full subscription level. We returned to normal contractual billings in July as we have generated strong traffic and lead volumes to dealers in recent months. And dealer retention remained strong thus far in the quarter though we continue to monitor the impact of COVID on our business and our dealers. Although advertising and other revenue fell 7% year-over-year to $14.8 million, we generated better-than-expected OEM advertising revenues over the course of the quarter. And our consumer financing platform generated strong demand and revenue growth as consumer shopping and buying activity picked up across May and June. Focusing on performance by geography, our U.S. business accounted for 95% of total revenue in the second quarter. U.S. revenue fell 34% year-over-year to $89.7 million while international revenue fell 38% year-over-year to $5 million with the declines primarily resulting from the fee reductions we offered our paying dealers in the quarter as well as a decrease in paying dealer count. Before discussing our paying dealer count, I want to describe changes we have made to our internal enterprise system, data architecture and definition of our paying dealer KPI that resulted in restated paying dealer counts for the prior three quarters. We are conducting an enterprise system upgrade to improve our customer relationship management software and increase our sales team's efficiency which has resulted in a new data structure to allow for more granular dealer location account management. We also identified data issues that led to previously overstated paying dealer counts. These issues in no way impacted our audited financial statements or diminish the underlying fundamental strength of our business. Our data team has completed a data reconciliation effort to align our historical data to the new structure allowing us to more accurately measure our business and provide our sales teams with more information about their existing and prospective customers. We adopted a new definition of our paying dealer KPI with new data logic that relies more directly on our billing system data as opposed to our inventory feed data. The new definition which relies on subscriptions per individual dealer location as opposed to inventory feeds per dealer under our old KPI definition, addresses issues including dealers that broke up their inventory feeds into multiple segments such as one feed for new cars and one feed for used cars. Previously, this resulted in each feed being counted as an individual paying dealer or contributing two paying dealers to our count instead of one. Under the new definition, such a dealer is counted as a single paying dealer. These two components, the data reconciliation and the new definition of our paying dealer KPI resulted in a decline of our U.S. paying dealer count as of 12/31/2019 of roughly 2701 dealers and an increase of 204 dealers in our international paying dealer count. The increase in international paying dealer count is primarily the result of an increase in PistonHeads paying dealer count stemming from account synchronization as a result of this system upgrade, data reconciliation and aligning PistonHeads data with our new definition of a paying dealer. The system upgrade, data reconciliation, change in data architecture and definition change have several implications. First, this provides us with improved accuracy in dealer-level data which is expected to yield more efficient sales account management and more consistent reporting data. Second, we are unable to restate our dealer accounts prior to the third quarter of 2019 due to the data reconciliation and overhaul data architecture. Third, while the reported paying dealer counts prior to the third quarter of 2019 that we are unable to restate are overstated, we have no reason to believe that the percentage growth rates from the previously reported paying dealer counts are materially different. And we note that the lower paying dealer counts would have yielded a proportionate increase in AARSD. We have provided restated paying dealer counts dating back to the third quarter of 2019 in our press release issued after the market close today. Looking at paying dealer count in the U.S., as we alluded to on our first quarter call, we experienced a sharp paying dealer count decline in April stemming from COVID-19 followed by moderating churn rates in May and June and paying dealer win-backs in the last two months of the quarter. Our paying dealer count troughed in early May and we subsequently added a significant number of net paying dealers to our core U.S. marketplace through the end of June. We ended the second quarter with 23,806 U.S. paying dealers representing a sequential decline of 1,917 or roughly 7.5%. In our international business, we observed similar trends and added 356 net paying dealers in June as recovery in traffic and lead generation helped spur dealer win-backs. We ended the second quarter with 6,452 international paying dealers, representing a sequential decline of 1,085 dealers or roughly 14.4%. This decline also includes a reduction of roughly 500 paying dealers in our Italian marketplace, which we wound down in the second quarter. While we cannot provide an update to AARSD this quarter due to lack of a restated paying dealer count for the quarter ending 6/30/2019, we have provided two additional metrics to offer clarity on the underlying strength of our business. First, we are disclosing quarterly average marketplace subscription revenue per subscribing dealer for the last three quarters and we plan to provide this metric for future quarters. In the second quarter, U.S. quarterly average revenue per subscribing dealer was $3,047 while international quarterly average revenue per subscribing dealer was $643. Our non-GAAP pro forma quarterly average revenue per subscribing dealer would have been approximately $4,825 in our U.S. business and would have been approximately $1,029 in our international business. These non-GAAP pro forma figures are adjusted to exclude the impact of fee reductions and assume that we had no incremental churn other than realized in the relevant quarter such that all reported paying dealers retain their subscriptions at their full subscription level. Second, we've broken out marketplace subscription revenue by our U.S. and international segments for the last six quarters and we plan to provide this metric for future quarters. Our U.S. business generated $75.5 million in marketplace subscription revenue in the second quarter. Our non-GAAP pro forma second quarter U.S. marketplace subscription revenue adjusted to include our $44 million for fee reductions provided during the quarter would have been approximately $119.5 million. Our international business generated $4.5 million in marketplace subscription revenue in the second quarter and our non-GAAP pro forma international marketplace subscription revenue adjusted to include $2.7 million for fee reductions provided during the quarter would have been approximately $7.2 million. These non-GAAP pro forma figures also assume that we had no incremental churn other than realized in the relevant quarter such that all reported paying dealers retain their subscriptions at their full subscription level. I'll discuss our expenses and profitability on a non-GAAP basis, which backed out our stock-based compensation expense, amortization of acquired intangible assets, acquisition-related expenses and restructuring charges. Second quarter non-GAAP gross margin was 90.8%, down roughly 330 basis points from the year ago quarter. Three factors contributed to the year-over-year contraction in gross margin percentage. First, we recognize media costs associated with our off-site display products and our cost of revenue. As these products scale, they create a modest headwind to gross margins. Second, technology investments in our data center and cloud-hosting expenses also contributed to the year-over-year contraction. Finally, the fee reductions we offered on marketplace subscriptions yielded modest gross margin contraction. However, these factors do not change our stated long-term operating income or adjusted EBITDA margin targets outlined in our investor deck posted on our Investor Relations website. Total second quarter non-GAAP operating expenses were $61 million, down 50% year-over-year. Non-GAAP sales and marketing expense fell 66% year-over-year to $33.9 million. The decline is primarily driven by our proactive decision to reduce variable consumer marketing expenses during the second quarter driven in part by weaker car shopping activity during the early portion of the quarter, as well as our decision to implement fee reductions on our marketplace subscriptions. Non-GAAP sales and marketing expenses represented roughly 36% of revenue in the second quarter compared with roughly 68% of revenue in the comparable year ago period. Our second quarter non-GAAP product technology and development expense grew 19% year-over-year to $15.9 million. The increase in product technology and development expense is driven primarily by headcount increases in our products and engineering teams, as well as stemming from our acquisition of Autolist. We generated non-GAAP operating income of $24.7 million, representing a margin of 26%. Our margin performance was driven by better than forecast revenue generation as well as reductions to our expense base, primarily through variable consumer marketing costs. Non-GAAP diluted earnings per share were $0.19 for the second quarter. On a GAAP basis, we generated second quarter gross margin of 89.6% and total operating expenses of $76.1 million, down roughly 43% year-over-year. The decline in operating expenses was primarily driven by a decrease in our variable consumer marketing expenses. In April, our Board approved an expense reduction plan, which we completed in the second quarter and resulted in a $4.3 million expense in the period. Second quarter GAAP operating income was $8.7 million, up 145% year-over-year. Second quarter GAAP net income attributable to common shareholders totaled $7.1 million. Geographically, second quarter U.S. GAAP operating income was $15.3 million, up 9% year-over-year. We had a GAAP operating loss of $6.6 million in our international business, compared to a $10.6 million loss in the year ago quarter. We ended the second quarter with $176.2 million in cash and investments, an increase of $20.5 million from the end of the first quarter. The increase in our cash balance was driven primarily by reducing our expenses in the quarter that yielded positive cash generation in the quarter. We generated $22.4 million in non-GAAP free cash flow, which includes capital expenditures and capitalized website development costs of $2.4 million. During the second quarter, we withheld and remitted $2.4 million in withholding payments from RSU share settlements, stemming from our equity compensation plans. Before we open the call for Q&A, I want to provide commentary on our outlook for consumer marketing spending and our outlook for the third quarter and full year 2020. Over the course of the second quarter, we sequentially increased our consumer marketing spend each month as consumer activity and car shopping began to recover off the March and April loads. As always our focus remains on not only acquiring traffic efficiently, but more importantly acquiring high-quality leads efficiently at scale and improving downstream monetization. We are particularly focused on balancing efficient traffic and lead acquisition, lead quality and lead distribution across our paying and free dealers to generate superior scale, robust return on investment for our paying dealers and improved unit economics for our business. We expect to continue rebuilding our consumer marketing expenses over the course of the year, but we remain mindful of the potential impact of the COVID-19 pandemic on the economy, consumer car shopping activity and the business health of dealers, as well as the effects of solid direct and organic traffic and lead generation and the resulting impact on our funnel. While we do not believe our second quarter margin performance is representative of how the business will perform in the foreseeable future, we continue to be encouraged by both the scale, efficiency and quality of our traffic acquisition and lead-generation efforts. In addition, the impact of the COVID-19 pandemic remains highly unpredictable. While we have returned to normal contractual billings practice in the third quarter, we will continue to work with our dealers through this challenging time. As previously stated, we returned to normal contractual billings on July 1. But should governments begin to lock down businesses and our dealers are impacted, we could reinstitute fee reductions. The guidance we are providing today contemplates a scenario where we do not offer any fee reductions or other blanket billings relief programs to our dealers for the remainder of the year. Our guidance also assumes continued recovery in traffic acquisition and brand spend over the balance of the year, to support audience and lead growth in each of our markets. For the third quarter, we expect revenue in a range of $132 million to $135 million, non-GAAP operating income between $29 million and $31 million and non-GAAP earnings per share between $0.21 and $0.23. For the full year 2020, we expect revenue in a range of $518 million to $524 million. We expect non-GAAP operating income between $89 million and $93 million, representing an operating margin of roughly 18% at the high end of our revenue and operating income guidance ranges. We expect to generate non-GAAP earnings per share between $0.66 and $0.69. Despite the many challenges and uncertainties stemming from COVID-19, our business is on strong footing. We showcased our flexibility and resiliency in the second quarter, demonstrated by strong margin performance and significant dealer win-backs in the second half of the quarter. We are delivering innovation through both our core listings platform and new product areas such as consumer financing and digital retail. We are also in a strong position to reinvest in our business, our product and our traffic with over $176 million in cash and investments and no debt on our balance sheet. I'd like to thank all of our employees for their continued hard work through these unusual and unprecedented circumstances and I believe our business will emerge from this crisis stronger than ever as a result. With that, I'll open up the call for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Jed Kelly of Oppenheimer. Please go ahead.
Jed Kelly: Great. Thanks for taking my question. A couple if I may. One, can you talk about how July dealer trends are trending in terms of retention and adding? And then two, can you talk about your strategy in optimizing for paying leads and how that's factoring into your traffic acquisition?
Sam Zales: Jed I'm going to go first. It's Sam Zales and I'm just going to confirm with my team that you can hear me okay. The trends as we've described them post the April sort of March and April COVID impact have moved all in the right direction for us both the rewinning of canceled dealers from the time that they really did not want to spend and we're holding up as the COVID impact the dealer industry, but also the retention of accounts that are with us. I think we've referenced our lead growth which has been very, very strong. And for those paying dealers there's great return on investment. So staying with our program has been obviously a big success for us. But the rewinning of accounts that canceled has been tremendous. So that trend that we talked about in the latter half of second quarter in May and June continues in July. I'm going to turn the traffic question to Langley.
Langley Steinert: Yes. So, on the traffic front, we spent a lot of time well before this quarter focused not only on traffic in general unique visitors, but more on delivering even within the concept of traffic versus leads focusing on paying deals versus free dealers. So, we're really encouraged by I think the trend towards showing positive growth in leads to paying dealers. But it's certainly a result of a lot of hard work.
Jed Kelly: And just as a follow-up, you're adding more lenders on your platform. And I guess as consumers adopt more digital shopping habits, I mean how do you think about actually moving up in the transaction funnel for your dealers, but also preserving your F&I income to maintain a healthy relationship?
Langley Steinert: Yes. So, I mean -- this is Langley. I'll take that one again. I mean, I would say first and foremost everything we do both in digital retailing and within that financing is going to be done in partnership with our dealers. We want to be their partner in that regard and everything we're doing is really about helping them close more business. So, that's certainly one of the core tenets of what we're trying to do in digital retailing and finance.
Jed Kelly: Thank you.
Operator: Your next question is from Dan Kurnos of Benchmark. Please go ahead.
Dan Kurnos: Thanks. Good afternoon. If I could just maybe first follow up on the first question just around dealer count, maybe Sam, is there kind of a view in your mind on when you get back to pre-COVID levels? And obviously, I think the thesis was especially in the downturn given the disruptive product and the billing discounts that there might be consolidation of platforms. Maybe the drop was too quick and the consumer spent too much I guess in May to really witness that. But I don't know, if you could provide any anecdotal evidence around -- if you saw any of that or expect that to continue as things start to normalize here. 
Sam Zales: Thanks, Dan. Sam Zales. I think we've had a number of industry macro trends that are going on. I think, as you study this market, COVID we're not past it. There's certainly some markets where we're seeing Texas, Florida, the West Coast. South and West are challenged with still health concerns and that's changing consumer behavior. I think if you studied the market the inventory trends are challenging in the used car arena. There is consolidation as you said. I think franchise dealers are getting more aggressive at sourcing as much inventory as possible that's left some of the smaller independent dealers challenge. And so as those macro trend -- to find inventory and be able to sell to consumers, our studies have showed consumers are still strong in their interest to buy vehicles right now. So I see some of that consolidation happening. I think the key for us is to continue selling the highest – what we believe is the highest ROI product to the marketplace. And with our lead growth that has been quite significant and certainly to our paying dealers, we have done a tremendous job of selling that value story to dealers. Jason referenced in the script call, we referenced the Bates White study. This is our first use of a third-party research study that looked at inventory turns for dealers who are utilizing our platform. And I think when we think about consolidation of spend for dealers on platforms like ours, when you look at a study that says by using a second or third partner there is very limited improvement to sales for a dealership, it does say that as they come back on and start spending again, dealers are going to look to the lead platform and ROI. And our platform is providing that with very little upside to joining the next set of platform. So yes, we are seeing that Dan and I hope that trend will continue as health returns to those markets that had some COVID impact. I hope that answered the question.
Dan Kurnos: That's helpful. And I guess maybe one more just obviously, the whole online retailing space has been incredibly hot. We've had Vroom kind of mentioned that they want to spend a lot on your platform but it feels like a challenge Langley, given that you want to remain organic sort. So how do you accommodate the potential increased desire to spend from those guys while also remaining somewhat wary as they build out a rather haphazard partner inventory model?
Langley Steinert: Yes. It's Langley. The short answer is, since I started the company in day one our – one of our philosophies has always been to do what's in the best interest of the consumer. So the sort order on our – the Bates – to piggyback off of Sam's comment. The Bates White study talked about it as well is that our sort order and how we rate deals is in our organic listings which is the majority of the page is completely unbiased. And so while – yes, we have plenty of money being thrown at us by many partners including some of the ones you mentioned. Our core sort order will always be completely unbiased and we think that goes to the heart of why consumers flock to our site because they feel like they get the most truthful answer from us in terms of providing great search results for consumers. So despite all the pressures we're always very careful in our organic search results to make sure it's completely unbiased.
Dan Kurnos: And do you have any concerns about them building out their own kind of partner inventory?
Langley Steinert: I can't conjecture on their business. I would say at the moment we feel – I would say the second stool of our consumer proposition is the breadth of our offering. So for – not just for the foreseeable future but for quite a long time, I believe, we're going to continue to have the largest selection of cars out in the – out on the marketplace whether it's us or any of our competitors. So no, I'm not particularly concerned about that.
Dan Kurnos: Got it. Thanks very much.
Operator: Your next question comes from Ralph Schackart of William Blair. Please go ahead.
Ralph Schackart: Hi, good evening. First one maybe Langley. During the script, you talked about a new version of the restricted offering within the 30-day period. I think we talked about removing vehicles when threshold were met. Just curious about the conversion of sort of non-paying to paying. And if they're not completely paying at this point just maybe give us some perspective on how the conversations are going on that process. And do you feel like it's having an intended impact to convert to paying dealers?
Langley Steinert: Yes. I mean to answer your – I mean, I'll turn it over to Sam in a moment. He can probably give a little more color. But I think the early returns are that a lot of people that have been using our free product for a long time have realized that the nature of their relationship with us has fundamentally changed and they're seeing quite a bit more value in our paid product. So I'd say the intended effect is positive. I will say that it's somewhat clouded by the COVID environment that we're living in. I think all dealers are being careful about their budgets and about the future. But overall, I'd say, it's having the intended effect, which is weighing that careful balance between making sure we provide the most selection to the consumer but also being fair to our paying dealers and try to be as explicit as we can with nonpaying dealers that we're going to allow you to be on our platform for some period of time. But not unlike for instance Dropbox, the free product is going to have some limits. And so the limits are probably quite a bit more explicit now. And so far – anyway, I'd say it's having the intended effect, yes. Sam, if you want to chime in more I don't know.
Sam Zales: I thought you gave all the points, Langley. Ralph, I hope that was quite the clarity that you need.
Ralph Schackart: It was. And maybe just one follow-up, just on the digital retail opportunity with a lot of products and services. I know you talked about consumer financing getting some good traction but maybe just kind of give some perspective. I'd love to hear your thoughts about the opportunity to be – or enable full e-commerce transactions and purchasing of vehicles. I'm guessing COVID at a minimum has pulled these conversations forward. But maybe just kind of give us your thoughts on that opportunity and how car dealers could facilitate that? 
Jason Trevisan: Sure. Hey, Ralph, it's Jason. Thanks for the question. Yes. So as you heard in a few spots in the script we are building various elements of online transaction capability or digital retail capability. And really everything we do is with consumers in mind and helping them have a seamless process as they'd like as well as dealers and making sure that dealers are getting the most out of a transaction. And so the term digital retail is a broad one. It has a lot of elements to it. It involves financing and contracting and tax title registration and delivery and add-on to the dealer. And so we're building it in a way and consumer finance is a great example that incents the dealer to want to do that so they're made whole financially and it doesn't harm them in any way. And then it incents the consumer to complete as much of the transaction as they'd like online and -- but also still going to the dealership if they want to complete it there if they want to do the test drive and so forth. So we're looking at which of those components, we should build which ones we should partner on and taking it sort of component by component so that consumers can complete as much as they'd like. And we're giving to dealers instead of a low funnel lead we're giving to dealers someone who is much lower funnel. They're already in the purchase process. And again consumer finance was sort of step one in that. Delivery our delivery product is another step in that direction. And then these pilots that we mentioned today are a further step in that. And so this will be a process that we go through to build this out, but we think it's critical for our dealers to enable them to frankly sell more cars to a wider audience, but also consumers who are looking to do more online. 
Ralph Schackart: Great. That’s helpful. Thank you.
Operator: Thank you question is from Ron Josey of JMP Securities. Please go ahead. 
Ron Josey: Great. Thanks for taking the question. I just wanted to follow-up maybe on that question Jason and the opportunity around the full, sort of, digital transactions. I understood this is to help both consumers and dealers. Maybe you can help us a little bit more understand around like the timing associated with it. And we -- and I ask this because we're seeing the growth at Carvana. We're seeing the growth at Vroom in terms of delivery and also less visits to dealers. And so can you provide us just with an update on how dealers view this and the speed to sort of moving to more digital transactions overall and how P2P, sort of, fits into this as well? Thank you. 
Jason Trevisan: Sure. Hey, Ron. So I think maybe the first thing to just set the context is that digital transactions as we're calling them for cars today is still less than 1% of the market. And on those transactions even on those, let's just call it 1%, there's still in almost every case a phone call required and interaction with the dealer. There are -- there's a bigger percentage of transactions where certain elements are done online, but then ultimately ends up with the consumer going into the dealership to like I said do a test drive or complete the transaction. So while it's certainly a growing market getting a lot of attention dealers are -- spend a lot of time thinking about it with us and with others it's still small, but it's an area that we're investing in because that we believe that that growth will continue. It is very complex and so I think the pace at which it goes there is going to be determined by that complexity. Buying a book online you don't need to talk to anyone and you don't need to give your social security numbers. That's easy. In this case there are questions about the product. People have questions about the car. If there's financing involved, there's tax title registration, which is a complicated process. So that's why we look at the -- both the transaction completion and the delivery of the vehicle as two work streams that are each in their own rights have a lot of parts and we're trying to be thoughtful and strategic about how we execute each of those parts and how quickly we do so that we have again like I said both the consumer we're solving for the consumer and we're solving for the dealer and keeping them whole. In terms of P2P when we built out a lot of the components of P2P, it was to complete a transaction, right? And so there are certain elements of that. The payments is one example that are similar to when a consumer buys from a dealer and those can be leveraged and ported over to our call it dealer digital retailing process. And then there are others that are unique like an inspection and things like that that you don't need with a dealer. So we're certainly getting leverage from some of that work, but we also have a pretty sizable team working on building out the rest of digital retail. 
Ron Josey: A lot to talk about. Thank you, Jason.
Jason Trevisan: Of course. And just one thing to add to -- sorry is I mentioned it earlier that dealers are now getting an even lower funnel lead our -- the consumers that we send to dealers with prequalified consumer financing close at a much higher rate than our leads that are coming with non-prequalification. And so, I think that's evidence of the more we can do to help the consumer get further into the transaction, before they go to dealer helps the dealer a lot, because they don't need to they convert higher, and they don't need to spend as much time with a consumer sort of hand-holding them. And it helps the consumer because they could presumably still get the car they want, but spend less time in the dealership.
Ron Josey: And if I could, just one quick follow-up. Just forgive me, I think we're a year into launching your financing opportunities. Can you talk about just maybe percentage of total leads that come with financing to that point of lower funnel leads? Thank you.
Jason Trevisan: Yeah. So, we actually mentioned that in the script, and I think it I think we said one in 10. So about 10% of leads are coming prequalified which is yeah, no, no. No problem, which is we're really happy with that. And there was a question earlier, too, about specifically about consumer financing and doing it in concert with the dealers. Remember, we get our revenue stream and consumer financing is from lenders. It's not from dealers. So the dealers still get the compensation they otherwise would.
Ron Josey: Thank you, Jason.
Operator: Your next question comes from Naved Khan of Truist. Please go ahead.
Naved Khan: Yeah. Thanks a lot. Two questions, if I may. One on the dealer rejoins or the win-back that you're seeing, are these dealers coming back at a similar spend level that they left, or are they coming in at a different tier? And maybe just on the financing product, how broad is the coverage now of the consumers with different credit profiles? Do you see room for adding more lenders to broaden it further?
Sam Zales: Naved, hi, it's Sam Zales. I'll take the first question. As we mentioned in the script that we've gone to elimination of our discounting, that we're bringing dealers back on at a full rate. And obviously, as lead growth continues, that rate continues to move in the same direction. So, we're winning back dealers at a non-discounted rate. And as we continue to move forward more the dealers that come on, we'll accentuate their pricing because of that lead growth. So we're happy to say that, once we remove discounts, we're getting those dealers that are ready to spend again back on because of our lead volume and then at a regular pricing. Jason?
Jason Trevisan: Yes. Hey, Naved, on the financing coverage. So financing right now is available on 85% of our vehicle listings and a growing percent where there's more than one lender. And so now we have two sorry, now we have three lenders. And yes, we do think that having more lenders is an important thing. One, it gives the consumers more choice, obviously. But then two, when the consumer then walks into the dealer, prequalified, if the dealer works with a number of lenders on our platform, then they're able to pick and choose what might be the optimal lender for both that consumer as well as that dealership. So yeah, we are continuing to add more.
Naved Khan: A quick clarification on Sam's answer. So, I'm really trying to sort of understand if a dealer was spending at just in dollar terms, say, $1,000, are they coming back at the same spending level, or do they just start afresh and build up from there?
Sam Zales: Yes, Naved. Sorry, if I wasn't clear. If they were paying $1,000 beforehand, they're coming back at that same full rate pricing. And as we bring on continued dealers in the flow going forward, the pricing reflects where is our lead growth. And I think we've talked about the substantial lead growth we're getting. So dealers that come back on will be paying that increased fee, because of that lead growth over time. So yes, they're coming back at 100% of their fee structure.
Naved Khan: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Langley Steinert for closing remarks.
Langley Steinert: Yeah, I want to thank everyone for dialing in tonight. I also wanted to give out another thanks to our employees for their hard work in these challenging times. And working from home many times with kids at home as well is not an easy task. And for that, I wanted to take another moment to say thank you to everyone. With that, I'll just say good night. Have a good night, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.